Operator: Welcome to the Fate Therapeutics Third Quarter 2020 Financial Results Conference Call. At this time, all participants are in listen-only mode. This call is being webcast live on the Investors and Media section of Fate's website at fatetherapeutics.com. As a reminder, today's call is being recorded. I would now like to introduce Scott Wolchko, President and CEO of Fate Therapeutics.
Scott Wolchko: Thank you. Good afternoon, and thanks everyone for joining us for the Fate Therapeutics third quarter 2020 financial results call. Shortly after 4:00 P.M. Eastern Time today, we issued a press release with these results, which can be found on the Investors and Media section of our website under Press Releases. In addition, our Form 10-Q for the quarter ended September 30, 2020 was filed shortly thereafter and can be found on the Investors and Media section of our website under Financial Information. Before we begin, I'd like to remind everyone that except for statements of historical facts, the statements made by management and responses to questions on this conference call are forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that can cause actual results to differ materially from those in such forward-looking statements. Please see the forward-looking statement disclaimer on the company's earnings press release issued after the close of market today as well as the risk factors in the company's SEC filings included in our Form 10-Q for the quarter ended September 30, 2020 that was filed with the SEC today. Undue reliance should not be placed on forward-looking statements, which speak only as of the date they are made as the facts and circumstances underlying these forward-looking statements may change. Except as required by law, Fate Therapeutics disclaims any obligation to update these forward-looking statements, to reflect future information, events or circumstances. Joining me on today's call are Dr. Dan Shoemaker, our Chief Scientific Officer; Dr. Bob Valamehr, our Chief Development Officer; and Dr. Wayne Chu, our Senior Vice President of Clinical development; and Ed Dulac, our Chief Financial Officer Today I will highlight several key clinical and regulatory successes we've achieved over the past quarter, and I will discuss certain presentations that we plan to make at the upcoming SITC and ASH Conferences that feature our proprietary iPSC product platform, as well as our unique ability to bring off-the-shelf multiplexed engineered cell-based cancer immunotherapies to patients. The last several months have been very exciting for Fate Therapeutics. We have made substantial clinical progress across our engineered iPSC-derived NK cell product pipeline, including treating the first patients with FT596 in combination with rituximab for B-cell lymphoma. We have also extended our clinical investigation of FT516 to combine with PDL1 targeted monoclonal antibody therapy for advanced solid tumors. And we have treated the first patient with FT538, the first ever CRISPR-edited, iPSC-derived cell therapy for acute myeloid leukemia and multiple myeloma. We have now treated over 35 patients with our iPSC-derived NK cell product candidates and early clinical data have solidified our conviction that multiple doses of iPS-derived NK cells can be administered off-the-shelf in the outpatient setting, are well tolerated and can drive anti-tumor activity, including in combination with monoclonal antibody therapy. We have also maintained our rapid pace of innovation and remain on track to submit in the fourth quarter, our Investigational New Drug application for FT576. Our iPSC-derived multi-antigen targeting CAR BCMA NK cell product candidate for multiple myeloma and I am pleased to announce that we have successfully completed GMP manufacturer of FT819, the first ever iPSC-derived CAR T-cell therapy as we currently prepare to initiate our landmark Phase 1 clinical trial. Our off-the-shelf iPSC-derived CAR NK cell product candidate FT596 is the first cellular immunotherapy that incorporates three active anti-tumor modalities, a proprietary CAR that targets CD19, a novel high-affinity, non-cleavable CD16 Fc receptor that enhances antibody-dependent cellular cytotoxicity or ADCC, a potent anti-tumor mechanism by which NK cells recognize, bind and kill antibody coated tumor cells and an IL-15 receptor fusion that augments NK cell activity. Made from a renewable multiplexed engineered clonal master iPS line, FT596 can be mass produced, cryopreserved, stored and made available off-the-shelf for broad patient accessibility. We are currently conducting a multicenter Phase 1 clinical trial to assess the safety and activity of FT596 as a monotherapy and in combination with CD20-targeted monoclonal antibody therapy for relapsed/refractory B-cell malignancies. In our Phase 1 study, we have observed early indications of clinical activity at the first dose level of 30 million cells. In June, we reported that the second patient at this first dose level achieved a partial response following administration of a single dose of FT596 as a monotherapy for treatment of diffuse large B-cell lymphoma. Notably, the responding patient had already received eight prior treatment regimens, and was most recently refractory to an ex-vivo expanded, healthy donor-derived peripheral blood NK cell therapy. Importantly, no dose limiting toxicities, no FT596-related serious adverse events, and no events of cytokine release syndrome, neurotoxicity or graft-versus-host disease were reported by investigators. Based on these encouraging clinical observations, we consulted with the FDA, regarding the potential to administer a second treatment cycle to the patient. Following FDA consent, we administered a second treatment cycle of lympho-conditioning, followed by a single dose of FT596 as a monotherapy at the first dose level of 30 million cells. At the at the 62nd ASH Annual Meeting, we plan to provide a clinical update on this second treatment cycle, where we are especially interested in comparing the patient's immunological response to the first and second dose of FT596, including tolerability and immunogenicity as well as the pharmacokinetics, safety and anti-tumor activity of the second treatment cycle. We are encouraged by the early indications of clinical safety and activity of FT596 at the first dose level of 30 million cells. We recognize that the administration of a single dose of 30 million cells is significantly below the dose level of cell therapies that have been historically administered to patients for the treatment of cancer, including donor-derived NK cell therapies as well as CAR T-cell therapies. Additionally, the durability of partial responses in relapsed refractory DLBCL as seen with autologous CAR19 T-cell therapies is only about two to three months. Therefore, under an amended protocol, we are continuing dose escalation of FT596 as a monotherapy and we are now enrolling patients at the second dose level of 90 million cells with the potential to dose escalate to 300 million cells and 900 million cells. I'm also pleased to announce that the first patients with relapsed refractory B-cell lymphoma have now been treated with a combination of FT596 and the CD20-targeted monoclonal antibody rituximab at the first dose level of 30 million cells. Since the product candidates' high-affinity, non-cleavable CD16 Fc receptor is specifically designed to promote ADCC, the combination of FT596 with CD20 targeted monoclonal antibody therapy enables dual antigen targeting of both CD19 and CD20 expressed on cancerous B-cells. We believe this highly differentiated therapeutic strategy has the potential to drive deeper, more durable responses for patients and may enable FT596 to be positioned in early line therapy where CD20-targeted monoclonal antibody regimens are used as standard of care. Under the amended protocol, we have also extended the clinical footprint of the FT596 Phase 1 clinical trial to include relapsed refractory chronic lymphocytic leukemia, and have now initiate enrollment of FT596 as a monotherapy at the first dose level of 30 million cells. We plan to begin enrollment of FT596, in combination with obinutuzumab for the treatment of CLL upon dose limiting toxicity clearance of the monotherapy regimen at the first dose level. We are excited about the expanded breadth of our FT596 Phase 1 clinical trial, which now includes dose escalation of 596 - FT596 as a monotherapy, and in combination with CD20-targeted monoclonal antibody therapy for the treatment of both B-cell lymphoma, as well as CLL. We also continue to believe that more frequent multiple dose schedules for iPS-derived NK cells will prove to be the most effective treatment course. And we look forward to continuing to work with the FDA to evolve the single dose schedule for FT596 to support multi-dose administration. At the upcoming SITC conference, we will present clinical results from the dose escalation stage of our Phase 1 clinical trial of FT500, the company's first off-the-shelf iPSC-derived NK cell product candidate for patients with advanced solid tumors. The FT500 Phase 1 clinical trial is the first ever study in the U.S. to evaluate an iPS-derived cell product. Importantly, the FT500 Phase 1 study was designed to assess the safety and tolerability of a multi-dose treatment course, consisting of outpatient lympho-conditioning followed by administration of up to six doses of FT500 in the outpatient setting. Dose escalation includes nine patients that were administered FT500 as salvage therapy, and six patients that were administered FT500 in combination with checkpoint inhibitor, on which the patient failed or progressed. Clinical results from the Phase 1 dose escalation stage, which we first previewed at the 2019 ASH Annual Meeting provide strong clinical evidence that multiple doses of iPS-derived NK cells can be administered safely without patient matching. No dose limiting toxicities and no FT500-related severe adverse events, or Grade ≥ 3 Adverse Events were observed. In addition, there were no reported cases of cytokine release syndrome, immune effector cell-associated neurotoxicity syndrome, or graft-versus-host disease. Importantly, with the administration of up to six doses of FT500, the patient's immunological response to FT500 was not suggestive of significant anti-product T-cell or B-cell mediated allo-reactivity despite immune reconstitution occurring during the first 30 days following lympho-conditioning. Among the 15 heavily pre-treated patients, 10 of whom were refractory to last prior therapy, 11 patients had a best overall response of stable disease. We believe these are clinically significant findings for the field of iPS-derived NK cell therapy. In total, 81 doses of FT500 were administered to 15 patients in the outpatient setting. The treatment course was safe and well tolerated. No FT500-related treatment discontinuations occurred and no robust signals of product rejection were observed. The data strongly suggest that up to six doses at up to 300 million cells per dose of an iPS-derived NK cell product can be administered off-the-shelf over the course of 45 days without requiring additional lympho-conditioning. We are currently enrolling the dose expansion stage of the FT500 clinical trial in up to 15 patients with either non-small cell lung cancer or classical Hodgkin lymphoma, who are refractory to or have relapsed on checkpoint inhibitor therapy. Each patient in the dose expansion stage is to receive three once-weekly doses of FT500 at 300 million cells per dose, each with IL-2 cytokine support for each dose for up to two 30-day cycles in combination with the same checkpoint inhibitor on which the patient failed or relapsed. I'm also pleased to announce that we have treated the first patient with FT538, the first-ever CRISPR-edited iPS-derived cell therapy. FT538 is our third generation product candidate designed to promote innate immunity, and is derived from a clonal master iPSC line, uniformly engineered with three functional components, a novel hnCD16 Fc receptor that enhances ADCC, an IL-15 receptor fusion that augments NK cell activity; and the deletion of the CD38 gene, which confers resistance to oxidative stress and promotes NK cell survival, including when combined with CD38-targeted monoclonal antibody therapy. We believe administration of FT538 to patients can restore innate immunity, and that the anti-cancer effect of certain standard of care treatments, including monoclonal antibody therapy can be more effective when combined with the engineered functionality of FT538. The multi-center, dose escalation Phase 1 clinical trial of FT538 is designed to assess the safety and efficacy of three once-weekly doses of FT538 in up to four dose cohorts starting at 100 million cells per dose. The study will assess two treatment regimens, Regimen A as a monotherapy for patients with relapsed/refractory AML and Regimen B in combination with daratumumab, an FDA approved anti-CD38 monoclonal antibody for patients with relapsed refractory multiple myeloma. As we've previously discussed, one of the most profound advantages of our proprietary iPSC product platform is our ability to perform complex genetic engineering, including further engineering of an already established clonal master engineered iPSC line. This enables the stepwise building of multiplexed engineered cell products of increasing complexity. We have successfully applied this novel approach using a clonal master engineered iPSC line for FT538 to efficiently create a clonal master engineered iPSC line for FT576, our off-the-shelf multi-antigen targeted CAR BCMA NK cell product candidate for multiple myeloma that incorporates four engineered components. We expect to submit an Investigational New Drug application for FT576 to the FDA in the fourth quarter of 2020. Analogous to FT596 in lymphoma, FT576 is uniquely designed to target multiple tumor associated antigens expressed on myeloma cells for best-in-class potential. In the third quarter, we also achieved a groundbreaking milestone in the field of cell-based cancer immunotherapy. Having submitted and cleared with the FDA, our IND application for FT819, the first off-the-shelf iPS-derived CAR T-cell therapy. Under a collaboration with Memorial Sloan Kettering, we designed FT819 to specifically overcome several limitations associated with the current generation of donor - a patient and donor-derived CAR T-cell therapies. We've incorporated several first of the kind features into FT819 to improve safety and efficacy, including a novel 1XX CAR-signaling domain, which has been shown to extend T-cell effector function without eliciting exhaustion, insertion of the CAR transgene directly into the T-cell receptor alpha constant locus, which has been shown to promote uniform CAR expression and complete bi-allelic disruption of T-cell receptor expression for the prevention of graft-versus-host disease. The multicenter Phase 1 clinical trial is designed to assess the safety and activity of FT819 across three types of B-cell malignancies, chronic lymphocytic leukemia, acute lymphoblastic leukemia, and non-Hodgkin lymphoma. Notably, each disease type will enroll independently, and each indication will evaluate three dose escalating treatment regimens: Regimen A as a single dose starting at 90 million cells, Regimen B as a single dose starting at 90 million cells with IL-2 cytokine support, and Regimen C as three fractionated doses starting at 30 million cells per dose. I'm pleased to announce that we have successfully completed GMP manufacture of FT819 at Fate Therapeutics. And we are currently conducting product release testing to support the initiation of our landmark Phase 1 clinical trial in the fourth quarter of this year. Finally, we're looking forward to the ASH Conference next month. In keeping with our tradition, we plan to host a virtual Investor Event to highlight the unique therapeutic features and functionality of our novel high-affinity, non-cleavable, CD16 Fc receptor. CD16 is a potent activating receptor, naturally expressed on NK cells that recognizes, binds, and kills antibody coated tumor cells. However, CD16 expression in NK cells is often downregulated and cleaved in the tumor microenvironment which can significantly impede NK cell functionality and cytotoxicity. We have engineered our novel CD16 Fc receptor to prevent its downregulation and cleavage, and it's binding - and improved its binding affinity to antibodies for enhanced ADCC. We think there is significant promise in the off-the-shelf combination of engineered NK cells and standard of care monoclonal antibody therapy to restore innate immunity in patients with cancer. It is now my pleasure to introduce Ed Dulac, who joined Fate Therapeutics in August as our Chief Financial Officer. Ed comes to Fate from Celgene Corporation, where he has most recently served as VP Business Development & Strategy. And we're pleased to have him here with us. Welcome Ed.
Edward Dulac: Thank you, Scott. Turning to our financial results, revenue was $7.6 million for the third quarter of 2020 compared to $2.4 million for the same period last year. Revenue in the current quarter was derived from our collaborations with Janssen and ONO Pharmaceutical. Research and development expenses for the third quarter of 2020 were $30.7 million, compared to $23.2 million for the same period last year. The increase in our R&D expenses was attributable primarily to an increase in employee headcount and compensation, including share-based compensation and in expenses associated with the facility lease for our new corporate headquarters. General and administrative expenses for the third quarter of 2020 were $8.4 million, compared to $6.3 million for the same period last year. The increase in our G&A expenses was attributable primarily to an increase in headcount and employee compensation, including share-based compensation. Total operating expenses for the third quarter of 2020 were $31.2 million net of $7.8 million in non-cash share-based compensation expense. In the third quarter, we recorded a non-cash $27.6 million non-operating expense associated with the fair value of contingent milestone payments under our license agreement with Memorial Sloan Kettering. In the event a certain clinical milestone is first achieved, up to three milestone payments may be owed to MSK, based on subsequent trading values of the company's common stock, ranging from $50 to $150 per share. These milestone payments in the aggregate total up to $75 million and no amounts have been paid, or are currently owed to MSK. We will re-measure this liability on a quarterly basis, and changes in the fair value will be recorded in our earnings as non-operating income or expense. The company ended the third quarter of 2020 with $502 million of cash, cash equivalents and investments. Common stock outstanding was 87 million shares, and preferred convertible stock outstanding was 2.8 million shares, each of which is convertible into five shares of common stock under certain conditions. I would now like to open call up to any questions.
Operator: And thank you. [Operator Instructions]. And our first question comes from Yigal Nochomovitz from Citi. Your line is now open.
Unidentified Analyst: Hi, this is [Samantha] on for Yigal. Thanks very much for taking the question. And I apologize, I think I've missed a bit of your prepared remarks in the beginning, I'm switching back and forth your call. So I'll just ask sort of a big picture question to start off. I believe you've talked about potentially sequencing therapy between first with NK cells and then followed by T-cells and potentially even combining both NK and T-cell therapies into a single infusion. So when you think about your clinical pipeline and your products, or do any stand out as being best suited for these combinations, and do you have any plans to test this in the clinic in the near term?
Scott Wolchko: Alright, it's a really good question. And I think it's one of the unique advantages associated with our platform and our ability to develop both off-the-shelf NK cells as well as off-the-shelf T-cell therapies. I think we're learning a tremendous amount about the safety profile and the activity of off-the-shelf NK cells. Clinically, we are just getting ready to begin our evaluation of off-the-shelf iPS-derived CAR T-cells. So before we obviously explore any unique combinations between NK cells and T-cells, we certainly want to see the independent activity of NK cells and T-cells in the clinical setting. And that said, pre-clinically, we have absolutely done some pretty interesting work in combining NK cells and T cells. And we do believe and see synergistic and complementary effects. But there is no immediate plan to combine it.
Unidentified Analyst: Okay, and do you have any plans to present some of that pre-clinical data over the next 12 months or so?
Scott Wolchko: Yeah, I'll turn that over to Bob Vaamehr.
Bob Valamehr: Hi, we just recently published today in Science Translational Medicine, the concept that you're addressing or alluding to. Basically showing that iNKs synergize with T-cells, they activate each other, they synergize an anti-tumor activity. And when combined with combinational agents such as checkpoint blockade therapy, you see an additive effect. So take a look at that paper just came out today.
Unidentified Analyst: Perfect, I'll definitely do that. Thanks very much for taking the question.
Scott Wolchko: Thank you.
Operator: Thank you. And our next question comes from Matt Biegler from Oppenheimer. Your line is now open.
Matt Biegler: Hey, guys. Thanks for taking my questions. Congrats on the progress. Scott, Dan, so just curious to hear your thoughts on the requirement for reconditioning patients prior to treatment. I'm not sure if you saw there was Nash abstract from one of your competitors that's also working with Jeff Miller's Lab. And it appeared that there were some tumor regressions following repeat dosing and but I don't believe those patients were reconditioned, so just curious kind of on your thoughts on that?
Scott Wolchko: Yeah, I think it's I think it's a super interesting question. And obviously, we're exploring the potential to give, for instance, a single lympho-conditioning regimen, followed by multiple doses of NK cells. And we are doing that in the FT500 study without lympho-conditioning. I think if you look, and again, I don't - I'm hesitant to compare the world of T-cells and NK cells. But in any event, if you look at, for instance, the data that's been generated in the T-cell space, including for instance, referencing Kite's data with Yescarta. I think it's really important to achieve a deep durable kill within the first 30 days. I think the best way to achieve that deep durable kill within the first 30 days is to give multiple doses of a cell therapy. And the cells change profoundly within the body upon administration, and I have - we've always maintained that we do believe giving sort of a continuous wave of cells over a relatively short duration can lead to the most profound responses. I do not necessarily believe that all that lympho-conditioning has to be repeated, though to achieve that.
Matt Biegler: Got it, fair. And maybe I can sneak one more in about your clinical trial strategy and site selection. Obviously, you've got some products that might compete for a given patient population, so, for example, 516 and 596, 538, 576. How do you ensure that one product isn't cannibalizing recruitment efforts for another product?
Scott Wolchko: Sure, that's a great question, something we think a lot about. And, Wayne, if you're on the line, do you want to address that?
Wayne Chu: Yeah, sure. Thanks for the question. I think it's a really good question. It's and it's a very and it's an issue that, we address every day with our programs. I think what we try to do is we try to have an optimal mix of sites and programs where select sites, given their operational capacities in terms of numbers of patients that they see in competing trials. We would - they would provide opportunities to participate in multiple trials, largely to leverage their larger patient population, and also to leverage some of the efficiencies that we can get from opening up multiple trials at a single institution. But we're also cognizant of the fact that trials can compete against each other, especially at sites that may be of more moderate size, or more modest size. And in those instances, we work very hard to ensure that the numbers of trials participate in those sites are limited so that we're not putting ourselves in a position where we're competing against ourselves.
Matt Biegler: Cool. Makes sense. Thanks, guys.
Operator: And thank you. And our next question comes from Michael Schmidt from Guggenheim Security. Your line is now open.
Kelsey Goodwin: Hey, this is Kelsey on for Michael. Thanks for taking our questions. Regarding FT596, and specifically the ASH presentation, I guess, what type of cell expansion data might one expect relative to typical expansion data that we see with CAR T-cells? And kind of how should we think about that PK data to be presented? And then specifically for the trial protocol, I guess, what kind of data do you think you'll need to generate in order to have an amendment approved where all patients could get multi-dose? Thank you.
Scott Wolchko: Sure, they are two really good questions, Kelsey. So with respect to cell expansion, of the product that we may say, and this is where again, I want to hesitate, I - we can't assume that NK cells and T-cells are going to behave the same. So some of the rules of the road that have been written for CAR T-cell therapy, I'm not necessarily sure apply to NK cells. I mean, so we're going to be cautious about making assumptions based on all the literature in the T-cell world. That said, we have disclosed that the first - that patient two, to be clear. Patient two that we're speaking about, did show PK in the blood, and showed expansion within the blood door and which peaked about day eight or nine, if I recall correctly, and then started to degrade over a period of the next 14 days. And so, interestingly enough, that's one of the things we're going to look at with respect to the second dose, how does the second dose compare in with respect to the first dose with respect to its behavior, both in terms of PK expansion, immunogenicity, and then obviously look at outcomes of the patient. So I think that's super, I think that's super interesting. With respect to the ability we want to get to a multi-dose paradigm. And I sort of articulated that that I think that's important just generally in the field. So I think quite honestly, the data that we're generating for FT500, as well as for FT516, which are both multi-dose paradigms, right off of that, can be very helpful in working with the FDA in a collaborative manner to get to a multi-dose paradigm. As you probably can appreciate right now, we do have the ability to give a second dose. We actually did do give a second dose to patient too. But we worked with the F - right now for 596, we're working with the FDA on a case-by-case basis. I do expect us in the coming months to have a conversation with the FDA, including presenting the data that we have on FT500 and FT516, to try and transition and move to a multi-dose treatment paradigm, much like we have with all our other products, including FT538 and even FT819.
Kelsey Goodwin: Got it? Thank you, Scott.
Scott Wolchko: Sure.
Operator: Thank you. And our next question comes from Peter Lawson from Barclays. Your line is now open.
Unidentified Analyst: Hi, everyone, this is Mitchell on for Peter. And thank you for taking our questions. The first one we have is, about how many patients at ASH of FT596 data do you expect that you might have? Is it like - is it a few or you comment there? And then how many may have had the second dose administered? And then how has your interaction been with the FDA on re-dosing and how many total doses could you potentially go up to with FT596? Thank you.
Scott Wolchko: So with FT596, the Ash Presentation is going to be a case study on patient two only. So that --hat will be the FT596 Presentation at ASH. Our current protocol for FT596 is single dose administration. And then we're able at the end of that first cycle, which is a 30-day cycle, to engage with the FDA to re - to potentially re-dose patients. That's a - obviously a protocol where we re-engage the FDA to support a second dose. All our other product candidates that are currently in the clinic, the protocol by design, as approved by the FDA already has multi-dosing in it. So for instance, FT500, has up to six doses, FT516 has up to six doses. So I do believe ultimately with a little bit of safety data across our pipeline, which regenerating including 50o and 516, we'll be able to have an engagement with the FDA and discuss the potential to multi-dose FT596, just like we do for all our other product candidates.
Unidentified Analyst: Great. Thank you very much.
Operator: Thank you. And our next question comes from Ben Burnett from Stifel. Your line is now open.
Unidentified Analyst: Hi, guys. Thanks for taking my question. This is Neil on for Ben. Regarding the FT596, investigator sponsored study in the relapse prevention after transplant setting. Can you shed any light on whether enrollment is underway? And then just give us your thoughts on how you would leverage any positive data that came out of that program?
Scott Wolchko: Sure, Wayne, you want to you want to take that?
Wayne Chu: Sure. So as far as the study status, that study is open at the University of Minnesota. We have not enrolled patients on that study yet. However, we have identified candidate - potential candidate patients that if things go well, we could see first treatment on that study in the coming weeks or month or so. To your second question about the data value, I think, as was alluded to before, I think we get we will get a lot of information from that study with respect to the pharmacokinetics of FT596 in the setting of a situation in a post-transplant where patients have been subjected to high dose chemotherapy which have been lympho-depleting and then understanding the pharmacokinetics, the proliferation and persistence of FT596 in that setting. And it kind of goes to that broader question that Scott mentioned before around the ability of a variety of different regimens to serve as conditioning therapy to support our iPSC NK cell products. So I do see value not only from the clinical situation where we can hope to enhance the anti-tumor activity and survival following autologous transplant lymphoma. But we will also have the opportunity to learn important biology questions around our iPSC NK cell proliferation and persistence in other lympho-conditioning settings besides fludarabine and cyclophosphamide.
Unidentified Analyst: Okay, thank you guys.
Scott Wolchko: Thank you.
Operator: Thank you. And our next question comes from Daina Graybosch from SVB Leerink. Your line is now open.
Daina Graybosch: Awesome, thank you. Congratulation guys on all the science at SITC and ASH, it's quite exciting. And one abstract that caught our eye at ASH was the one that confirmed the NKG2A is quite effective at educating the iPSC NK cells. And you also had some really interesting in vitro data showing that the HLA expression when you increased it, and cell line the K562 is going to actually reduce the cytolytic capacity of the NK cells. And I wonder if you have any mechanistic hypothesis for why you're not seeing that HLA inhibition? And how translatable do you think these in vitro assays are to the human situation?
Scott Wolchko: So I'll take that question. Thank you for reading that abstract. And it was a, it was a beautiful collaboration with [Kelly Mabergeth], he's one of our premier individuals out there on NK biology. So we went into this not knowing how the NK cells will develop with NKG2A or with KIR, because obviously, we're doing this in a P3 dish, this is not in the body. And what we found was very interesting that during development, the NK cells ended up using NKG2A to basically educate themselves. And so traditionally, HLA expression is basically use with KIR to educate the cells. Here we found out that NKG2A was used and through the ligand-expression of activating receptors and NKG2A, we saw that the cells actually learned to use NKG2A. So when you express HLA-E, that should enhance their performance. And so from that perspective, we saw that, in fact, it was the additive effect with HLA-E on CAR activity or just innate activity. Does that answer your question?
Daina Graybosch: Well let's do or maybe just a follow up. So you're licensing it, you see the additive effect, but doesn't then if you have a high HLA-E on a cell that you're recognizing, doesn't that also inhibit when you are ligands do that, but you didn't really see that? And I was wondering, why you didn't see that?
Scott Wolchko: Yeah, that's - so that we're looking at that and the poster or actually the presentation will shed some light on all the different signaling mechanisms that are upregulated. So we see that NKG2A whether its base level expression of HLA-E or super physiological expression of HLA-E. It actually helps maturation and so it is compromises over for KIR expression. So we're just saying that NKG2A actually supports maturation, so we're investigating exactly why. But even when we go to higher levels of HLA-E, this maturation continues, and then we still maintain the anti-tumor efficacy.
Daina Graybosch: That's helpful. Thank you.
Scott Wolchko: Sure.
Operator: And thank you. And our next question comes from Biren Amin from Jefferies. Your line is now open.
Biren Amin: Yeah. Hi, guys. Thanks for taking my questions. Scott, for the FT596 program, you announced that you're moving this into refractory CLL. But when you look at the autologous CAR T, CD19 CAR Ts, we haven't really seen much success in CLL. So can you, I guess, provide what the rationale is on this? And I guess it is objective in looking at CR rates, because I'm going to assume most of these patients have failed BTK. And you're seeing, I think, very low rates of complete responses in these patients. And would you also, I guess, require patients that have failed a Bcl-2 or PI3K inhibitor?
Scott Wolchko: So I'll let Dan talk a little bit about the findings in T-cell - in the T-cell world and why we're excited potentially about an NK cell, an iPS-derived NK cell. And I'll let Wayne then talk a little bit about the study protocol.
Dan Shoemaker: Hi Biren, this is Dan. So CLL is one of the areas that we're specifically excited about, because one of the findings in that patient population is their T-cell compartment is beat up and really not ready for the manufacturing and has shown very variable and poor performance in a CAR T setting. And this is one of the huge advantages of using a healthy off-the-shelf approach. And specifically, our iPS manufacturing process really gets around this limitation. So this is one of the reasons we're very excited about developing, off-the-shelf products for the CLL population. And Wayne, you want to take the next one?
Wayne Chu: Yeah, sure. So regarding the question around eligibility for patients with relapsed refractory CLL, for this part of the study, patients will be required to a failed prior BTK inhibitor as well as a prior Bcl-2 inhibitor. So patients who have to received and failed on both a Bruton and venetoclax to come on to this part of the study.
Biren Amin: Got it. And then I -
Dan Shoemaker: Yeah, and as you said, the other thing I'd add to that is, again, I'm not going to read too much into small numbers of patients. But if you do go back and you look at the data set from MD Anderson and out of Dr. Rezvani's Lab, that was published in New England Journal of Medicine earlier this year, actually, I think more of those patients, and we're dealing with small numbers of patients, I understand, but more of the patients actually had, I believe had CLL than they had DLBCL in that dataset. So there is some interesting proof-of-concept there, albeit in small numbers of patients for a prior NK cell therapy.
Biren Amin: Okay, that's helpful. And then on the DLBCL side, you mentioned that patient two had received a second dose, would that be the same number of cells as the first dose? Can you talk about that? And -
Dan Shoemaker: It was.
Biren Amin: Go ahead.
Dan Shoemaker: Well, I was it was the same as the first dose. So the patient received 30 million cells as a second dose.
Biren Amin: And as you go higher in dose escalation, let's say 300 or 900 million cells, is the thought that if the patient requires re-dosing it would be at the same level, or could you re-dose at a lower 30 million or 100 million cell level?
Scott Wolchko: Yeah, so that's a really interesting question we have we have not yet done inter-patient dose escalation, we just have not gone there yet, in thinking about how we dose patients. But you - we potentially could.
Dan Shoemaker: And interestingly enough, and again, I don't want to, I don't want to read too much into it. But you know, the FT516 COVID experience, it's a clinical trial that we're running, actually does have interpatient escalation where we start out at 900 dose one, then go to 300 dose two, and then go to 900 dose three. So we are actually learning a little bit about this in the COVID setting with that FT516.
Biren Amin: Got it. And then - and then maybe just one last question. There seems to be I guess, you know, some speculation that patient two has achieve a complete response with the second dose. Can you confirm that?
Dan Shoemaker: No, I can't confirm what how patient did or did not respond to the second dose.
Biren Amin: Great. Thank you.
Operator: And thank you. And our next question comes from David Nierengarten from Wedbush Securities. Your line is now open.
David Nierengarten: Hey, thanks for taking the question. I have maybe a little bit different one on the 819 and T-cell side of things. Have you considered or and hanging out in the research works a system where you have your modifications, and then you add in a plus minus kind of effector signal for solid tumors, so to achieve greater efficacy with less toxicity depending on the antigen presentation by the tumor cells? Yeah, there's been I know, some work in the field on that. And I was just curious if you guys were thinking about that on the solid tumor side on the T-cell side? Thanks.
Bob Valamehr: Hi, this is Bob. Yeah, logicating, I think what you're referring to, it makes a lot of sense and especially in the heterogeneous tumor world. So we're definitely working on not just as Scott mentioned earlier, the CD16, where it gives you the multi-antigen components. We're also working with dual CAR strategies, and also TCRs. And so at ASH you'll see a slew of concepts coming, where we're targeting multiple antigens in multiple different ways, whether it was CD3 engagement, CD16 engagement, TCR engagement, and CAR engagement. And now we're working, as you're suggesting, and having them be dependent on each other, so one has to turn on before the second one turns on. And so through that kind of multi-antigen targeting modalities combined with logicating, I think it gives us a unique perspective. Because also, a lot of people are creative, as I mentioned, in some of the things we're doing, but when it comes to engineering, is very limited. So this is what a platform has given us the ability to publish, for example, 12 abstracts at ASH because we get to do a lot of cool things at the single cell level and get access to a lot of different effector cell to play with.
David Nierengarten: Yeah, got it. Thank you.
Operator: And thank you, and our next question comes from Mara Goldstein from Mizuho Securities.
Mara Goldstein: And then Scott and Dan, I'll just - I have a question here on the prior lympho-depletion. What are your scientific efforts so far on other methods of innovation for your iNK therapies and if that may even be needed for the subsequent doses at all?
Dan Shoemaker: Yeah, so I mean, we've looked at Cy/Flu. And we're actually in clinical studies. We're looking at different Cy/Flu regimens for instance, the FT500 Cy/Flu regimen, is not the same regimen that we use for 516 and it's not the same regimen that we use for 596. Its two days of outpatient lympho-conditioning in the FT500 setting. I - like I said, I mean, I think one of the really interesting things about the FT500 data set, and it's why we ran the experiment, is I do believe that what we've seen from the data so far, does support the fact that you can give a single conditioning regimen, and then follow that up with multiple doses over at least a period of 45 days. Keep in mind that the FT 500 study, when we went and started cycle two, to give three more doses, we did not repeat condition. And so I do believe and I think the data support so far that there is a window, whether that's, two weeks, three weeks, four weeks, but certainly we've gone out to six weeks now, where we have yet to see rejection programs emerge against the cells we're delivering. So I certainly think there's the opportunity to support a single conditioning regimen, including lighter conditioning regimens, followed by multiple doses. I also think this is a really interesting thing. And we will talk a little bit more about this at the event at ASH, as Wayne alluded to. There are many standard of care regimens that are used in early line that provide degrees of conditioning. I mean, let's look at R-CHOP or O-CHOP, right? The CHOP at some level is a form of conditioning. And this is where I think FT596 or FT576. I mean, there's an opportunity for - to move those products, again, with clean safety profile, to move those products to earlier line of therapy. I don't think there's anything unique about Cy/Flu that requires it to be the conditioning regimen for use with our cell therapies. And I would add to that the fact that I think that's, potentially reinforced by the fact, once you engineer the cytokines support into the cell itself, like for instance, FT538 where you have the IL-15 receptor fusion engineered into it.
Mara Goldstein: Okay and just one real quick question here. And I apologize if I missed this earlier in the prepared remarks. Will the company be holding the traditional analyst meeting around the ASH meeting?
Scott Wolchko: Yeah, we're going to do an event and we won't - unfortunately, it won't be our - the traditional event that we like to hold. But yeah, we will probably do a - we will do a 60 to 90-minute call on the Friday before ASH.
Mara Goldstein: Great, thanks a lot. I'm looking forward to that.
Operator: Thank you. And our next question comes from Alethia Young from Cantor Fitzgerald. Your line is now open.
Alethia Young: Hey, guys, thanks for taking my questions. Congrats on all the progress. Can you just talk a little bit about is 596 a function of kind of the number of patients before you go back to the FDA to kind of have the conversation around reducing or is there something else you are looking for? Because it seems like in the early, other clinical programs you've had a fair amount of success with those things? I guess I'm just trying to figure out what the plan is there. And can you just talk a little bit about the strategy and thought behind the COVID study, which you just started, I think the ISG study? Thanks.
Scott Wolchko: Yeah, absolutely. I'll let Wayne talk a little bit about the COVID study. It's early on in that study, but I'll let Wayne talk a little bit about that. With respect to re-dosing, look it's a safe assumption to assume that when we first approached the FDA with the potential to take FT596 into clinical study, that we had a study design that was more similar to FT500 and FT516, providing multiple doses over multiple cycles. The reality is when we started the FT596 study, we did not have obviously any data with FT596. And we had very little data with FT500 and FT516. So we did not yet have the precedent data set that we do today with FT500 or FT516 to support the discussion with the FDA. As a result I think and the fact that it's a three-point edited cell therapy, it's a first of kind from that perspective. The FDA recommended we be a bit cautious in proceeding with a multi-dose paradigm and asked us to proceed with a single dose with the ability to give a second dose upon their consent. I do think now, obviously, we're generating data with FT596 and showing it safety, even if it's just single dose safety. And we have certainly reduced at least one patient which we've discussed. And we're generating a tremendous amount of data now with FT500 and FT516 that provides up to six doses to patients. So I don't think we're quite there yet. The FDA asked us to generate some data specifically with FT596. But I think we're getting to the point where we could potentially have that conversation with the FDA to support a multi-dose paradigm. Anything could happen, but I feel fairly confident that we will be able to move to that type of paradigm. Keep in mind, we did file the IND for FT538 after FT596. And FT538 is a multi-dose paradigm. We also filed the IND for FT819, the first T-cell, after 516, and FT819 has a multi-dose treatment arm. So I believe we're getting there.
Alethia Young: And then on the COVID?
Wayne Chu: Then Yeah, so regarding the COVID study, this is a FT516. This is an investigator-initiated trial at the University of Minnesota where patients with documented SARS COVID 2 infection, as determined by PCR and who have, a clinical presentation that is, kind of that medium between completely asymptomatic and very sick. Patients would come on to the study and they would receive 516 in a way that the dose escalation is designed for the study is kind of modeled along this intra-patient dose escalation. So the first dose level patients would be given a single dose of FT516 at a low dose of 90 million cells. And then in the absence of any dose limiting toxicities, the next dose cohort would be that same dose on day one and then an additional day four dose of 300 million cells. And then the third dose level is basically the day one and day four dose and then the addition of a third day seven dose at a dose of 900 million cells. And so this trial is open, it has enrolled at least two patients so far. And because these dose cohorts are essentially single patient cohorts, we've been able to rapidly clear dose escalation and so we're now still in the midst of dose escalation at the highest dose level. As you can probably imagine, given all the advances in the standards of care for the treatment of COVID, it's I think finding patients for that fit the profile, as defined by the study has been a little bit challenging but it's not for the lack of the availability of patients or the enthusiasm for the study. So -
Alethia Young: Awesome, great. Thank you. And Scott, this stuff will color on kind of the dynamics behind the timing of 596 relative to other things?
Scott Wolchko: Yeah, I think that was actually a pretty important dynamic that drove this at the time, right? We filed three INDs in pretty rapid succession. And we did not actually have a lot of data with an iPS-derived paradigm at the time we even we filed the FT596 IND.
Alethia Young: Got it, very helpful. Thanks.
Operator: Thank you. I would now like to turn the call back over to Scott Wolchko, President and CEO of Fate Therapeutics for closing remarks.
Scott Wolchko: Terrific. Thank you, everyone for attending today's call and all the great interactive discussion. And absolutely look forward to speaking with some of you at the SITC conference and then the obviously ASH event and the ASH Conference. It should be a really exciting couple of weeks here. Thank you very much and be well.
Operator: Thank you. Well, ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.